Operator: Good afternoon, and welcome to the Descartes quarterly results call. My name is Brandon, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to Scott Pagan, and you may begin, sir.
J. Pagan: Thanks, and good afternoon, everyone. Joining me on the call today are Ed Ryan, CEO; and Allan Brett, CFO. And I trust that everyone has received a copy of our financial results press release that was issued earlier today. Portions of today's call, other than historical performance, include statements of forward-looking information within the meaning of applicable securities laws. These statements are made under the safe harbor provisions of those laws. These forward-looking statements include statements related to our assessment of the current and future impact of the COVID-19 pandemic and Russia, Ukraine context on our business and financial condition; Descartes' operating performance, financial working conditions; Descartes' gross margins and any growth in those gross margins; cash flow and use of cash, our application to commence a normal course issuer bid and potential purchases pursuant to such bid; our business outlook; baseline revenues, baseline operating expenses and baseline calibration; anticipated and potential revenue losses and gains; anticipated recognition and expensing of specific revenues and expenses; potential acquisitions and acquisition strategy; cost reduction and integration initiatives and other matters that may constitute forward-looking statements. These forward-looking statements involve known and unknown risks, uncertainties, assumptions and other factors that may cause the actual results, performance or achievement of Descartes to differ materially from the anticipated results, performance or achievements implied by such forward-looking statements. These factors are outlined in the press release and the section entitled certain factors that may affect future results in documents filed and furnished with the Securities and Exchange Commission, the OSC and other securities commissions across Canada, including our management's discussion and analysis filed today. We provide forward-looking statements solely for the purpose of providing information about management's current expectations and plans early into the future. We caution such information may not be appropriate for other purposes. We don't undertake or accept any obligation or undertaking to release publicly any updates or revisions of any forward-looking statements to reflect any change in our expectations or any change in events, conditions, assumptions or circumstances on which any such statement is based except as required by law. And with that, I'm going to turn the call over to Ed.
Edward Ryan: Great. Thanks, Scott, and welcome, everyone to the call. We kicked off the new fiscal year right with record financial results. These were our best results ever across a host of different metrics. I'll hit some highlights for you. But first, let me give you a road map for this call. I'll start with highlighting some aspects of our financial results, speak to current business conditions and identify where we're making investments to grow our business. I'll then hand it over to Allan, who will go over the Q1 financial results and some corporate finance matters in more detail. I'll then come back and provide an update on some corporate matters and how our business is calibrated, and we'll then open it up to the operator to coordinate the Q&A portion of the call. So let's get started by looking at Q1. We had record high revenues of $116.4 million, up 18% from a year ago. Net income was $23.1 million, up 26% from a year ago. Adjusted EBITDA was a record high of $51.2 million, up 23% from a year ago, and this was with a $500,000 drag compared to FX rates from a year ago or $300,000 from FX rates last quarter. We generated (sic)[ $44.4 million ] in cash from operations or 87% of our adjusted EBITDA. Our adjusted EBITDA as a percentage of revenue was 44%. All of these metrics were ahead of our plans, so a very strong financial quarter for us. At the end of the quarter, we had $211 million in cash, and we're debt free with an undrawn $350 million line of credit. We remain well capitalized, cash-generating, debt-free and ready to continue to invest in our business. So I'd like to address 3 areas. One, why we did well this past quarter; two, what the market conditions are that we're operating in right now; and three, where we're making investments. On the first point, our focus at Descartes has been on building a consistent, predictable and sustainable business that is resilient to changes in the market conditions. So as I described some key contributors to our performance last quarter, you're going to hear some common themes from past conference calls and our previous successes, and that's by design. Key things that helped us grow last quarter include past investments are paying off in a sustained -- or with sustained organic growth. We continue to see good organic growth in our business year-over-year. We see this as a payoff from the targeted investments we've made in sales and marketing over past quarters. Our biggest change in sales and marketing was growing a group that's now aligned by different pillars of our business and geographically. In the past, we're purely organized and engaging with customers by geography. But as we've grown and matured, we've moved to our further -- to further solution specification to be able to focus on customer-centric engagement that helps customers drive more value from our solutions. Second is real-time visibility contribution. We've been in the visibility business for a long time. It's one of the foundations of the Global Logistics Network. When we started, we were providing purchase order line item visibility from EDI status messages. We've grown with the market to move to real-time visibility, leveraging GPS and other technologies. A few years ago, we joined with MacroPoint to become a leader in the space. Our real-time visibility business continues to grow. We're receiving and tracking more shipments than ever, and our capabilities are expanding across all modes of transportation including identifying available shipment capacity. The third is strong demand for denied party and sanctioned party screening and tariff changes. We foreshadowed this last quarter and it happened as expected, with geopolitical conflicts escalating in particular, with the war in the Ukraine. Governments around the world have imposed sanctions on particular countries, parties and commodities. There are enormous financial and economic consequences of violating these sanctions. Businesses need to be more diligent than ever in who they are doing business with, who they're employing and who they're importing from or exporting to. A good portion of our content business is specifically focused on this, helping businesses scan for compliance with the various sanction lists around the world. Also with all of the challenges and tariffs because of these geopolitical events, our databases of tariffs and duties have become even more vital for our customers. And the fourth is past acquisitions have contributed well. Those who followed us for some time know that we've taken a consistent measured approach to adding to our business by way of acquisitions. We generally are buying houses that are right in our neighborhood and complement our existing business. If we combine with the business that's not yet at our desired profit level, we take very quick steps to get it there, using Descartes resources and experience to help the business thrive. So it's no surprise that the business positively contributes to our growth post acquisition, and that's our plan. This past quarter was our first quarter with NetCHB in our business, a company I described to you in detail on our last call. They are a very good complement to our existing solutions for freight forwarder and customs brokers. The business has really hit the ground running. We've already had some combined successes, so we're happy to see their contribution in the quarter. So that's how last quarter went. It went very [ well ]. We performed well and bought some businesses. Things continue to change quickly in the global market though. We built a resilient business that in the past has grown through some very challenging business environments. However, we need to be prudent and cautious when things are changing. Generally, the things impacting supply chain and logistics markets right now fall into 2 categories. The first is conflict and geopolitical issues and the second is economic issues. On the conflict and geopolitical front, there are 3 main things we're monitoring for their impact on logistics and supply chains: one, the war in the Ukraine; two, Brexit; and three, China COVID lockdowns. The war in Ukraine has caused sanctions and retaliatory reactions from countries around the world, even though it's not directly involved in the conflict. As I mentioned, businesses in our space are having to be extra diligent to screen all relationship and shipments for compliance with a myriad of sanctions and restrictions out there. Also changes in tariffs and duties have made sourcing from or shipping to Russia expensive and/or prohibitive. Businesses have had to restructure critical supply relationships to continue operations. Shipments to and from ports in Ukraine and Russia have become very dangerous or blockaded, causing virtually all major carriers and all modes of transportation to travel alternative routes that are sometimes lengthier and more expensive. And recently, we're seeing Russia shutting off supply and energy commodities to neighboring countries, causing disruptions in those supply chains. The wars had a wide range of impact on virtually everyone's supply chain. The biggest overall impact has been on energy and commodity markets. These are generally supplied by cables, pipelines or bulk commodity carriers, usually ocean vessels. Not much of Descartes business is in this supply and logistics space. So we haven't seen a big impact on shipment volumes in our business. However, we've seen an impact from our customers, increasing screening for sanctions and/or using technology to look at alternative supply and logistics strategies that back past the region. Inside our own company, we have a limited number of individual contractors in the region helping us. We're fortunate that they're all safe and we've been trying to do what we can to support them and their families. The second geopolitical item I flagged was Brexit, specifically issues relating to Ireland. The island of Ireland is divided into the South, which is part of the EU and the North, which is part of the U.K. and therefore, not a part of the EU. A key part of the U.K. Brexit separation from the EU was established in a protocol that would avoid having to put an enforced land border between Northern Ireland and Ireland as that type of separation has been a source of prior trouble and conflict for many years. So rather than have checks on goods going from Northern Ireland to Ireland to the Northern Ireland protocol established filings, declarations, tariffs, duties and checks on goods entering in Northern Island from Great Britain in accordance with EU standards. We've been helping many businesses with their filings and declarations for goods going into Northern Ireland. It's been a good business for us over the past year or so. Recently, elections were held in Northern Ireland where, for the first time in history, the political party with a focus on reunifying North and South Ireland, won the most seats in the Northern Ireland government. This party is supportive of the existing Northern Ireland protocol. However, some of the other political parties needed to form a government are not as supportive. All that is to say we'll be continuing to monitor for our customers, the continued viability of the Northern Ireland protocol and whether additional filing and documentation changes will be required by our customers as they continue to adapt to Brexit. The third geopolitical item we're monitoring are the COVID lockdowns in China. China has taken an aggressive zero-COVID approach, which has resulted in many businesses in China being shut down while they deal with the outbreaks. This includes manufacturers, distributors, ports and logistics operations. With China being a major source of manufactured goods and components, this has had a big impact on the supply chains of Western companies. We've heard of parts and component shortages in many industries, including the auto and electronics industry, resulting in manufacturing slowdown. Over the past years, Western companies have had to be very agile to meet supply chain challenges. In response to these China COVID lockdowns, many have saw alternative suppliers in neighboring countries or in parts of China not impacted by the lockdowns. We've seen it to be a challenge for businesses but not a fatal chokepoint. On the logistics front, prior to the lockdowns, ports and carriers were dealing with backlogs and sparse capacity to move goods. With these China COVID lockdowns, we're seeing many of the [ CLOCS ] and the logistics infrastructure work themselves out, with wait times at U.S. seaports coming way down and prices starting to come down with increased capacity. To date, we've continued to see steady shipment volumes for Asia Pacific. Things seem now to be opening back up right now in China. And in the meantime, we'll continue to monitor the situation for any potential impact on future shipment volumes. So those are some of the major conflict and geopolitical issues impacting supply chain and logistics. But there are also some economic issues impacting our space, many of which are connected in some ways to these events. The first, inflation. We've seen very high inflation rates in various economies. This has caused price increases, which then has businesses looking at alternative sourcing within their supply chains. We had to manage this in our own business by adjusting pricing to reflect supply costs that have been passed on to us. Second, interest rates. Higher interest rates put additional pressure on businesses with leverage, in particular, logistics businesses with hard assets. We're also aware of technology peers and competitors with highly leveraged businesses. As I mentioned earlier, Descartes is debt free. So this is a limited challenge to us right now, and it's potentially an opportunity as highly leveraged private tech businesses could have depressed valuations in the future. The third is currency movements. Global economic and political conflict has caused many currencies to move for our customers. This can also be driving force to looking for alternative sourcing strategies as low-cost offshore jurisdictions suddenly become much more expensive. As I detailed earlier, our own business faced some FX currency headwinds this quarter compared to a year ago. However, we have some natural hedges in our business that doesn't really have us too exposed to any one particular currency movement. The fourth is fuel costs. Fuel costs are rising. Diesel costs, in particular, are impacting the trucking industry. This puts pressure on companies to more efficiently use their vehicles and sometimes contributes to broader inflation as fuel costs are passed on for our business. Our writing and scheduling business and transportation management business are specifically designed to reduce miles driven, so fuel cost increases often also increase demand for our solutions in this space. Fifth is labor availability, competition for logistics and supply chain workers remains fierce with many companies exploring alternative sources for workers. More specifically, there's still ongoing negotiations for the West Coast port workers' contract. And while both sides seem committed to a resolution there, the labor disruption there could also contribute to more logistics backlog and alternative logistics strategies. And the sixth is returns to stores and office workplaces. As the world begins to leave lockdowns, it remains to be seen whether the buying patterns of consumers will return to in-store versus the boom that e-commerce purchases have seen over the pandemic. We strongly believe that e-commerce remains a growth area for the future but probably with more subdued growth rates than seen over the recent past. We continue to see e-commerce as an area of investment for us and even more so if valuations for companies in this space come down. So that's the broader market environment we're in right now. That's certainly a lot going on that impacts supply chain and logistics. As I've said in the past, our business generally does well where things are changing. When our customers are changing sourcing and logistics strategies, they're generally benefiting from our technology to do so. But we, like every business out there, need to keep an eye on the broader market impact on global trade for the rest of the year. It's one thing if businesses are finding different ways and strategies to still do what they did before, it's entirely another if the world starts doing less overall. For us, especially coming off our financial performance in recent quarters, we remain committed to profitable growth in our business. Our strategy remains to grow our existing business and look for businesses to combine with. So let me speak to each of those. We've had good recent success with organic growth driven by past investments in sales and marketing. We anticipate continuing those types of investments. Specifically, we'll be continuing investments in the following areas. The first is investing in our customer success group. Our specific goals for this group are to increase customer satisfaction, decrease churn and expand product adoption in our existing customer base. We have a very large customer base of over 20,000 customers. We think we can do great things for our business by serving them better. 2 years ago, we didn't even have a dedicated customer success group, so we anticipate this group is something we'll continue to grow out given our early successes. Second is investing in our marketing technology. Our marketing activities used to be primarily events and trade shows. We've invested in various technologies to improve our search engine optimization, enable account-based marketing and otherwise provide customers and prospects with useful information that lets them know how we can help them with their specific challenges. We've also moved away from 1 big global in-person user group and have moved to several virtual innovation forms that are focused on our particular Descartes solution set. The third is investing in build-out of our European team. Historically, this team is exclusively geographically structured. We moved to a structure that's both geographic and solution focused. We've expanded the team and brought in broader solution experts, enabling customer-centric engagement across our various solution pillars. On the acquisition front, you can see that we remain active. We've completed 2 acquisitions already this fiscal year. Earlier in the year, we combined with NetCHB, which I mentioned earlier and went through in detail on our last results call. More recently, we've also combined with Foxtrot. Foxtrot is an investment that complements our existing routing scheduling technologies. Specifically, Foxtrot has strength with machine learning capabilities that will help our customers with iterative improvements to the delivery route plan. This was of particular interest to us given Foxtrot and Descartes have some common customers. Also, Foxtrot's strength in retail food and beverage complements our other previous investments such as GreenMile, making us, in our mind, the premier solution provider in the food and beverage distribution industry. Welcome to everyone from Foxtrot, and we are excited to be working with you. We're committed to continue to grow Descartes. These sales and marketing and acquisition investments are designed to keep us on that path. We're very excited about where we are now and our future path. To wrap up, we had great Q1 financial results. That was in part because of the past sales and marketing investments paying off, our solution leadership in certain markets and the contribution of past acquisitions. In the current quarter, there are challenging and changing business conditions caused by geopolitical conflict and economic changes. While we're cautious about how these business conditions will impact the global economy and shipment volumes for the rest of the year, we remain committed to investing in profitable growth for our business through continued sales and marketing investments and business combinations. Once again, thanks to the entire Descartes team for their efforts this past quarter and for the work they're doing right now to help our customers deal with all the change and complexity in the world right now. And with that, I'll turn the call over to Allan to go through our Q1 financial results in more detail. Al?
Allan Brett: Thanks, Ed. As indicated, I'm going to walk you through our financial highlights for our first quarter, which ended on April 30. As Ed mentioned, we are pleased to report record quarterly revenues of $116.4 million this quarter, an increase of 18% from revenues of $98.8 million in Q1 last year. While revenue from our recent acquisitions, including NetCHB and Foxtrot, contribute nicely to this growth, growth in revenues from new and existing customers was once again the main driver of growth this quarter when compared to the same quarter last year. In addition, we should mention that there is a decrease in revenue from FX this quarter as the U.S. dollar was stronger compared to the euro, Canadian dollar and British pound when compared to the same period last year. This resulted in almost a $2 million negative impact on revenue from Q1 when compared to Q1 of last year. Excluding FX, revenue growth would have been closer to 20% in Q1 over Q1 last year. Consistent with past quarters, our revenue mix in the quarter continued to be very strong, with services revenue increasing 16% to $102.8 million or 88% of total revenue, compared to $88.3 million in the same quarter last year. Service revenue was also up nicely sequentially, increasing over 3% from Q4 last year. License revenues came in at $2.3 million or 2% of revenue in the quarter, up from license revenues of $1.3 million in the first quarter last year, while professional services and other revenue came in at $11.3 million or 10% of revenue, up 23% from $9.2 million in the same period last year as a result of increased professional service engagements. Gross margin for the first quarter was 76% of revenue, consistent with the first quarter of last year. Operating expenses increased in the first quarter. This was primarily related to the impact of recent acquisitions, but also from additional labor-related costs, primarily in the sales and marketing areas as we continue to invest in our business in those areas. As a result, we continue to see strong adjusted EBITDA growth of 23% to a record of $51.2 million or 44.0% of revenue for the quarter, up from $41.5 million or 42.0% of revenue in the first quarter last year. From a GAAP earnings perspective, net income came in at $23.1 million, up 26% from net income of $18.4 million in the first quarter last year. With these strong operating results, cash flow generated from operations came in at $44.4 million or approximately 87% of adjusted EBITDA in the first quarter, up 9% from operating cash flow of $40.9 million in Q1 last year. As Ed mentioned, we are pleased with these operating results in the first quarter as continued organic growth and solid performance from recent acquisitions resulted in an 18% growth in revenue and more importantly, a 23% growth in adjusted EBITDA for the quarter. We turn our attention to the balance sheet. Our cash balances totaled approximately $212 million at the end of April, almost identical to the cash balances of $213 million we had at the end of January. As we used our cash flow from operations to complete both the NetCHB and Foxtrot acquisitions. As a result, we still have over $200 million of cash available as well as our $350 million operating credit facility to deploy towards future acquisitions. So we continue to be well capitalized to allow us to consider all acquisition opportunities in our market, consistent with our business plan. As part of our press release today, we announced that we have filed with the Toronto Stock Exchange, or TSX, a notice of our intention to commence a Normal Course Issuer Bid or NCIB. Details of the application, which is subject to approval by the TSX are included in today's financial results press release. If the NCIB application is accepted by the TSX, we expect to be permitted to repurchase for cancellation at our discretion during the next 12 months, up to 10% of the public float of Descartes issued and outstanding common shares. If the NCIB application is accepted by the TSX, any purchases under the NCIB will be conducted in the open market or as otherwise permitted, subject to the terms and limitations applicable to such Normal Course Issuer Bid. And they will be made through the facilities of the TSX, the NASDAQ, other designated exchanges or alternative trading systems. If we do make any purchases under the NCIB, we don't know at which prices and at what quantities they will be. However, given the recent volatility that's existed in the public technology company valuations, we thought it prudent to have this type of option available to us, if it was an effective use of capital at the time it is used. At the same time, we should be very clear that we are still very committed to the deployment of capital towards completing acquisitions that will enhance our business. We simply want to have an NCIB structure in place to also be able to explore the use of this capital as appropriate. So we should note the following as we look towards the balance of our fiscal 2023 year. After spending approximately $1.6 million in capital additions in the first quarter, we expect to incur approximately $3 million to $4 million in additional capital expenditures for the balance of this year. After incurring amortization expense costs of $15.0 million in Q1, we expect amortization expense will be approximately $42.2 million for the balance of the year, with this figure being subject to adjustment for FX changes and future acquisitions. Our tax rate came in, in Q1 at 24.1% of pretax income, slightly lower than our statutory tax rate, and this was mainly as a result of our recovery of certain benefits in the United States. Looking to the balance of this year, we currently expect that our tax rate will trend closer to our statutory tax rate, so in the range of 25% to 30% of pretax income for the next 3 quarters. However, as always, we should add that our tax rate may fluctuate from quarter-to-quarter from onetime tax items that may arise as we operate internationally across multiple countries. Next, after incurring stock-based compensation expense of $2.8 million in the past quarter, we currently expect stock-based compensation will be approximately $10.9 million for the balance of fiscal 2023, subject to any forfeitures of stock options or share units. And finally, going forward, subject to unusual events and quarterly fluctuations, we expect to continue to see strong cash flow conversion and generally expect cash flow from operations to be between 85% to 95% of our adjusted EBITDA in the quarters ahead. And with that, I'll now turn it over to Ed, who will wrap up with some closing comments and our baseline calibration.
Edward Ryan: Great. Thanks, Allan. Before I hit calibration, I just want to hit on some other areas of corporate development for Descartes. We were very pleased to release our first ever ESG report in early May. It's posted on our website, and I'd encourage you all to read it and provide us with feedback as we look at our continued progress on ESG matters. The report identifies many areas where we've progressed so far, such as our positive environmental impact, including helping customers reduce carbon emissions, paper use and fuel consumption, our role in helping customers meeting their own social and governance initiatives, including compliance with economic and trade sanctions, our commitment and investments in data privacy and security, our efforts in developing a diverse capable employee team working in a healthy and rewarding work environment and our commitment to admirable business conduct and ethics. In addition, we'll be hosting our virtual Annual General Meeting of shareholders on June 16 at 10 a.m. The materials for the meeting are available on our website and have otherwise been provided to shareholders. Among the matters being considered, we've nominated 2 additional directors for election at the AGM, bringing the Board to 10 directors. If all nominated directors are elected, our Board will have diverse representation with 60% of the directors identifying as female or a visible minority and 40% of the Board being [ female ] directors. So now on to calibration. Our business is designed to be predictable and consistent. We believe that stability and reliability are valuable to our customers, employees and our broader stakeholders. To deliver this consistency, we continue to operate from the following principles: our long-term plan is for our business to grow adjusted EBITDA 10% to 15% annually. We are going through a combination of organic growth and acquisitions. We take a neutral party approach to building and operating solutions on our Global Logistics Network. We don't favor any particular party. We run our business for all supply chain participants connecting shippers, carriers, logistics service providers and customs authorities. When we overperform, we try to reinvest that overperformance back in our business. We focus on recurring revenues and establishing relationships with customers for life. We thrive on operating a predictable business that allows us forward visibility to our revenues and investment paybacks. Nothing that's happened in Q1 or that we're seeing right now has had us change our financial and investment plans for this fiscal year, but we're going to be cautious in executing on those plans while we continue to monitor and evaluate the impact on our business and our customers' businesses from the market items I identified earlier. That same caution was kept in mind as we calibrated our business for Q2. In our annual report, we provided a comprehensive description of baseline revenues based on calibration and their limitations as of May 1, 2022. Using foreign exchange rates of $0.78 to the Canadian dollar, $1.05 to the euro and $1.26 to the pound, we estimate that our baseline revenues for the second quarter of 2023 are approximately $103 million and our baseline operating expenses are approximately $64 million. We consider this to be our baseline calibration of approximately $39 million for the second quarter of 2023 or approximately 38% of our baseline revenues as at May 1, 2022. Our targeted adjusted EBITDA operating range for our business remains at 38% to 43% for fiscal 2023. In Q1, we were at 44% above this range. However, in light of the broader uncertainty in the markets, including in the foreign exchange markets, we're not looking at changing our targeted range, but we'll revisit that in future quarters if we continue to overperform and if the market stabilizes. We're already very hard at work on helping our customers deal with these very complex times. We believe that if we focus on making our customers successful, it's our own best chance at achieving our own goal of being a strong and trusted business delivering superior results for customers and shareholders. Thanks to everyone for joining us on the call today. As always, we're available to talk to you about our business in whatever manner is most convenient for you. And with that, operator, I'll now turn it over to you for the Q&A portion of the call.
Operator: [Operator Instructions] From William Blair, we have Matt Pfau.
Matthew Pfau: Great quarter. Ed, I wanted to first ask on the acquisition strategy. So when you look at potential targets in your pipeline, have valuation expectations changed at all? And are you seeing more of a willingness to sell within those targets?
Edward Ryan: I think with our smaller tuck-ins, it's business as usual. I don't think they're as impacted by the public markets as maybe the larger acquisition candidates that are maybe deals run by bankers with private equity firms involved. So business as usual for us for the normal course acquisitions that we're all doing. Some of the larger ones, what we've seen so far is what I would expect to see when the public markets turned down, which is with those deals get stalled. They come up with every excuse in the world as to why they're stalling the deal or delaying or not getting the book out or whatever they want to say. But I think at the end of the day, it boils down to, they see what's going on in the public markets, and they're afraid if they go out them right now that there -- that they're going to get a much lower valuation than they initially told their clients. So I think that's why they're in a bit of a whole pattern. This is what we saw and it passed tech downturns as well. Let's see what happens in the coming months, if it continues for any amount of time. I'd expect that some of those deals will come out and they'll come out at a much lower valuation. But there's a little bit of game going on right now for people to try to figure out what's going to happen and the strategy as to whether they go out now or wait, depends on how desperate they are to sell.
Matthew Pfau: Got it. And then just maybe it'd be helpful if you could sort of frame how you would think about the impact of a potential recession on Descartes business. If we go back to the Great Recession, your business has evolved quite a bit since then. And then during COVID, there was obviously a drop-off in volumes, which had some impact. But if we were to enter a softer macro here. How do you think about the impact on your business and your ability to manage through that?
Edward Ryan: So I think we're pretty well positioned for it. And first of all, we're coming into it with a lot of tailwinds right now. The supply chains are still clogged up. China's just -- in the past couple of days that they're opening back up, that's going to put more shipments back into the pipeline. And I think we're seeing that on our networks, which is good news. If the world turns into a longer global economy -- global downturn, we'll probably start to see at some point in the future in shipment volumes as well. We don't see it today, but maybe if it continued for a long time or happen and then continued for a long time, we'd certainly start to see with everything else. At the same time, last recession, a big recession in '08, we probably fared a lot better than most, and I expect that might happen even more so this time because we're a much more diverse company now, a lot more products and a lot of different reasons that people buy those products that aren't all driven by individual shipments. So we'll see what happens. I don't know any better than anyone else what's going to happen to the world economy, but I like our chances compared to our competitors and a lot of other companies out there. And maybe most important, if the world takes a downturn and every company's valuation gets it, we're not acquirers. So when I look back at '08 and '09, and I think how did that work for us? I go, well, it was painful when we're in it. But at the end of the day, we picked up some of the best acquisitions we've ever gotten at some of the best valuations we've ever gotten during that couple of years, while that recession was taking hold and people were coming out of it. So in a certain sense, we'd look forward to that environment.
Operator: From Stephens, we have Justin Long.
Justin Long: I wanted to start with a question on organic growth. Allan, any best estimate you can share on organic growth in the quarter when you adjust for acquisitions and maybe FX as well? And Ed, I think on the last call, you talked about the budget baking in 4% to 6% organic growth for the full year. Is that still your expectation after what you've seen fiscal year-to-date?
Allan Brett: I'll take the first part and let Ed talk to the way we build our business plan. Organic growth, as you know, we consolidate the operations of the acquisitions we make. So we don't have a specific number, a detailed number. But roughly speaking, if you look to note 3 in the financials with the pro forma disclosure with the acquisitions. If you take that note, if you consider the fact there's a currency headwind of just under $2 million, our organic growth, would I'd estimate somewhere between 12% and 13% in Q1 over Q1 last year, so double-digit organic growth is what we're seeing. To your point on the 4% to 6%, the way we build our business plan, Ed, do you want to comment there?
Edward Ryan: Yes, sure. Thanks, Justin. We always say around here, we plan for the worst and hope for the best. And when we say 4% to 6%, that's how we plan to operate our business and when it's higher than that like it is right now, we're happy about that. And the other thing that we say here is that we're going to take the excess above the 10% to 15% growth in EBITDA every year and plough it back into our business to try and help grow future results. So I recognize right now, we're well above that and that may continue. But if it does, you're going to see us continue to do the same thing, which is to plough it back into our business and try and make it a better place for the long run for our customers and our shareholders.
Justin Long: Okay. Great. And I guess building on that, you have over $200 million of cash, net cash today. Can you talk about your target for the balance sheet over the next few quarters, let's call it, over the remainder of the fiscal year-end, especially in the context of the potential for share buybacks? How are you thinking about targeted leverage by year-end?
Edward Ryan: Well, we have to see what happens, right? When we're acquisitive, we bought companies. You never know what we're going to be able to get and we'll operate as such, right? I mean we plan on making a lot of money every quarter and continue to grow the amount of money that we make every quarter and put it in the bank and use it to make investments. Now in most cases, I think that investment is going to be to buy companies as we always have done. We just have to see what happens, what companies come along. You never know how big they're going to be and how much they're going to charge on whether we're going to think that's a good deal. What we're evaluating everyone at the best of our ability and trying to make the best decision we can. And I think that the same thing applies for the Normal Course Issuer Bid, right? We see what's going on in the tech market. We wanted to open up that option for ourselves in case the market took a downturn and we overthink that that's the best place to put our money. Not to say that we're doing it or not doing it just to say that we have an option to move quickly if we want to.
Operator: From Wolfe Research, we have Scott Group.
Scott Group: Ed, you were talking about maybe a little bit more of a conservative approach with the calibration. It's not like a pretty sort of normal sequential improvement in the calibration and, obviously, the organic growth is so strong. So I just want to make sure I'm understanding the sort of what you're seeing. Are things actually starting to slow as you see it in your business? Or is it something that you just think may happen? And if it's going to happen, which of the products you think are most likely to see it?
Edward Ryan: No, I see nothing in our business right now. It's slowing down. I read the newspapers and see what people are saying about what might happen in the economy, but we don't have any indication of that in our business at the moment. So I don't know what you're just going to bring, but I think we're pretty well positioned if things do take a downturn and probably in a good position, given our cash and our ability to generate income going forward to take advantage of it if things do turn down, right, to pick up assets at lower prices than we've been asked to pay over the last 5 or 6 years, and we think a lot of these private companies are selling for more than their worth, and that's been frustrating to us. If the economy takes a downturn, we're looking forward to that opportunity. And at the same time, I don't see that right now in our business at all.
Scott Group: You guys were helpful with the currency headwind to revenue. Is there a way to think about the currency impact to the bottom line to adjusted EBITDA?
Allan Brett: Yes. Sure, Scott. It's Allan here. Ed mentioned in his notes that we are fairly naturally hedged in that area. We operate in multiple currencies. When the U.S. dollar is strong to the Canadian dollar, it actually benefits us. It hurts us against the euro and the pound. Those things -- when I say that at the EBITDA level, so those things tend to offset each other a little bit. That said, we do watch currency. We had just under $2 million impact on the top line, a minor impact on EBITDA. It was a small negative. So we just continue to watch it and make sure that we don't go off that natural hedge too far. So think of it as fairly muted at the EBITDA level, not immune to it, but fairly muted.
Scott Group: Okay. And then Ed, I know there's already been a couple of questions about M&A. But like as you -- as it stands today with where the stock is, what do you think is more likely, executing on the buyback or doing M&A?
Edward Ryan: I think we're always going to be acquisitive or at least for the foreseeable future, we're -- we believe the winner in our space is going to consolidate the space and put the assets together in the best way, and we plan on being that guy. And I don't have any [indiscernible] at all that it will be a trade-off of one versus the other. We're going to keep acquiring companies, and yes, we'll keep the NCIB out there if we can -- if we see an opportunity to do some of that as well and like that investment will be there, too.
Operator: From Barclays, we have Raimo Lenschow.
Unknown Analyst: This is Jeremy on for Raimo. So I wanted to ask about NetCHB. And as you mentioned, it's the first quarter of contribution. Could you just speak a bit to like how the integration is going overall? And maybe some color on how the customs business is trending?
Edward Ryan: Thanks, Jeremy. Yes. No, it's great. And it's easier than most for us because they're in the exact same business we're in with the Type 86 filings, and we're 1 and 2 in the market, and we just came together. And that's been great for us. We were able to go out and pick up even more customers just in a very short period of time here. And we have maybe medium-term plans to be able to consolidate some of the data processing pools around Type 86 filing and save ourselves some money in the long run. So we're real pleased with the acquisition. We thought we were going to be real pleased with it. Like a lot of acquisitions, we're pretty sure it's going to work and we were with this one for sure that it's going to work well before we pull the trigger on it. And so far, it's proven out to be that and maybe even a little more, so we're happy about it.
Operator: From Laurentian Bank, we have Nick Agostino.
Nick Agostino: I guess just one quick comment just to say, Ed, thanks for the prepared remarks to sort of provide a lot of color on the business, so I appreciate that. So my 1 question is just there's lots of talk about onshoring production as a result of the pandemic. And I'm just wondering if that situation were to happen, should we see, I guess, a change in the mix as to how product is transported maybe, say, more rail and trucking versus shipping or ocean and air? If that would happen, how does that impact your business vis-a-vis, just maybe the different pricing for each mode of transportation? Would it be positive, negative, neutral? Any color there would be appreciated.
Edward Ryan: Thanks, Nick. First, I don't know that I completely buy that. I understand it might happen in a few industries and I understand it's an interesting thing to talk about on the news. But compared to the world's shipping volume, I think the products that are going to be near shore, so to speak, are a relatively small portion of that. At the same time, just understand that most products get shipped around the world. Their parts get shipped around the world multiple times to ultimately get manufactured somewhere. And so there's a lot of shipping that goes into making just about everything that we are all looking at right now. I'm looking at the bunch of desk chairs and computers and stuff like that. You probably all looking at similar stuff. There's a lot of manufacturing and a lot of shipping that goes into that. And once it's made, it has to get shipped all over the world. So when I hear that concept of we're going to make stuff locally to build, I go okay, first of all, I don't buy that that's going to be the bulk of the world's production. I think it's going to be a relatively small fraction of it. Second, I think there's still going to be a ton of shipping all over the world to do that. And if you move the location of where it's made, you're going to still have to ship it all over the world just from a different location. Certainly, when stuff made closer to an ultimate customer is -- the shipping changes for it. There's more truck and there's less ocean and air. But most products aren't made that way. They're made somewhere and then they're shipped all over the world. What I do see happening more and more, and I think it's probably going to happen with a lot more of the world's products is that they're going to be produced in different locations around the world and not because they're trying to get any closer to the customers, but because they are trying to find cheaper locations to manufacture in. China is becoming more expensive right now. And maybe more importantly, they're going to have -- try to have a more diverse production capability, right? If you have 6 plants in China right now, and that's where you produce everything and a bunch of them are shut down because of COVID restrictions. Where you think you're building the next plant? It's probably not going to be in China. And maybe you're going to the Philippines or Vietnam or somewhere else, some other low cost jurisdiction, not because you want to get closer to the consumer because you probably still not going to get closer to the consumer. You may want to find a lower cost jurisdiction to producing. And maybe even more importantly, you want to find a more diverse location of producing. So that if there's a problem in one part of the world or in one country, you're not stuck with your entire production getting shut down. So I think that's maybe something that people would focus on more and I think something that's a little closer to reality of what we see in our customer base.
Nick Agostino: Okay. I appreciate that color. I will say, tied to your comment there, I think we saw today Apple announcing production, I think, out of Vietnam trying to move away a little bit from China. So I think they're already echoing your view. So I appreciate that, and I'll pass the line.
Edward Ryan: Yes, my pleasure, in fact, I need to just comment on that because that's the start of this, right? And it used to be -- in fact, if you listen to past calls and I talk about yoyos just to pick the silly product example. That's what started in China 20, 25 years ago, right? You started -- the manufacturing that went there first was the simple stuff. And then people started to get more sophisticated in production in China, and they started to move more and more sophisticated stuff over there to the point where they were manufacturing iPhones there and computer chips and things of that nature. And now you're -- that Apple move we're starting to see, they're doing that in Vietnam. And they're probably going to start to do in other jurisdictions as well as China becomes more expensive and they try to diversify their production capabilities.
Operator: From Canaccord Genuity, we have Robert Young.
Robert Young: I was hoping to ask a little bit about the China shutdowns [ that happened ] there, a couple of big ones in Shenzhen and Shanghai kind of across the 2 quarters. And then I'm sure you're considering part of it in the calibration, but I was wondering if you could just maybe summarize the positive and negative puts and takes around that type of an event. I'm sure there's a lot of companies, your customers are looking at alternate strategies, but then there's volume impact and I'm just trying to get a sense of, as that progresses, how does it impact you?
Edward Ryan: I think it impacted our customers because they -- some of the products that they wanted to produce, they got shut down in China. Now if you noticed in the paper in the last day or 2, they're opening back up right now. So I think they're still going to a zero-COVID approach, but they're opening things back up, and I think you're going to start to see in the coming days and weeks as plants start to open back up. We did not see that in our network. You can see the results that we just turned in. They're excellent, as good as we could have hoped for. And I think we didn't see the impact of China having some problems and some shutdowns, one, because it didn't go on for that long; and two, maybe more importantly, there was such a backlog coming into it that the carriers -- and remember, we get paid by the shipment for stuff carriers carry, and they were already full. So what it did was probably help buy down some of that backlog that we had out there for months. But I think you're going to see it go right back up right now. And that's what I think there's going to be -- the backlogs will increase if what I'm reading in the newspapers is true. With China opening up and that there's still a backlog right now, and if those plants opening back up, it's going to be a lot more orders going in to fulfill shipments that didn't get ordered 3, 4, 5 weeks ago because the plants were shut down. It's going be interesting dynamic. I don't know exactly what's going to happen, but you just heard my guess, and we'll just have to see.
Robert Young: Okay. That's really helpful. And then just maybe a quick summary of what you're seeing out there in the pricing environment with your logistics customers as you said in the past that, I mean, they're doing really well. The pricing environment is very strong for them. Are you still -- are they still enjoying that environment? Is it changing?
Edward Ryan: I think so. I mean the days you were hearing now were like November, December last year, you were hearing 4x the ocean freight. I think it's come down from there, but it's still elevated for sure in all modes, certainly air's and truck. We don't charge based on their prices, so it doesn't matter to us so much. It's helpful for us when they run a healthy and profitable businesses, and I think they continue to do that right now. They're all having a pretty good time of it at the moment because there's only so much capacity and that lets them raise their prices up. And when they're in a good position, that usually is helpful to us.
Robert Young: Right. More technology budget?
Edward Ryan: I think so. I think when people get more money in their pockets, they go, what should I do with that? And one of the things -- you even hear us talking about in our business. One of the things you do with that and say, let me invest it to make this a better business in the long run. And one of the main places people make investments is in technology. And there's not a head of supply chain in the world right now that's not able to walk into a CEO and say, I want to spend more money to improve our supply chain. That question used to -- was answered with like get out of my office. And here we are 5 years later, and it's, sure, whatever you want to spend. It's a huge problem, and we need to do something about it. And so that really helps guys like us that sell technology to them, which is seen as one of the most cost-effective ways to make an investment in your supply chain.
Operator: And we have no further questions at this time.
Edward Ryan: Great. Thanks, operator. Thanks, everyone. We look forward to reporting back to you on Q2 in September. And otherwise, have a great night.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.